Operator: Good afternoon, and welcome to the IDT Corporation Fourth Quarter and Full Fiscal Year 2020 earnings call. In today's presentation, IDT’s management will discuss IDT’s financial and operational results for the three and 12 month period ended July 31, 2020. During remarks by IDT’s Chief Executive Officer, Shmuel Jonas, all participants will be in listen only mode [Operator Instructions]. After the prepared remarks Marcelo Fischer, IDT’s Chief Financial Officer, will join Mr. Jonas for questions and answers. Any forward looking statements made during this conference call, either in the prepared remarks or in the question and answer session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the Company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make, or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the question-and-answer session, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share. A schedule provided in the IDT’s earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share to the nearest corresponding GAAP measures. Please note that IDT earnings release is available on the Investor Relations page of the IDT Corporation Web site. The earnings release has also been filed on a Form 8-K with the SEC. I will now turn the conference over to Mr. Jonas. Please go ahead.
Shmuel Jonas: Thank you very much, operator. And I apologize in advance if I lose my [poise] [ph], I’m having little printer issues. So I was unable to print the speech beforehand. Welcome to IDT's fourth quarter and full fiscal year 2020 earnings call covering results for the three and 12-months and to July 31, 2020. I'm joined today on the call by Marcelo Fischer, IDT's Chief Financial Officer. For a more detailed report on our financial and operational results, please read our earnings release filed earlier today and our Form 10-K, which we expect to file with the SEC on October 14th. First off, I want to thank our teams worldwide who continue to do just a terrific job despite the challenges of working from home as I can attest. In particular, I want to thank all our colleagues, distributors and retail partners who continue to support our customers under these very difficult circumstances. One thing I don't talk enough about is our customers. I want to take a moment to thank them for trusting us in this challenging time. Our business customers count on us every day to allow them to manage their businesses better both online and offline, to collaborate with their suppliers and to communicate with their partners and clients. Our BOSS Revolution customers count on us to keep in touch with their family and friends and deliver their very hard earned money to loved ones worldwide. Our business is all about earning the trust that our customers place in us every day. We don't take that responsibility lightly and we work hard every day to make sure that we continue to improve. As a small token of appreciation for all that our customers do, we developed and underwrote a project called, Stories of the American dream. The project is a collection of stories told by people from all over the world who came to America and are making truly remarkable contributions to our country. You can see this wonderful project by visiting, Stories of the American Dream.com or by following us on social media. Our fourth quarter results were quite good. We achieved our highest levels of consolidated quarterly margin contribution and adjusted EBITDA in over a decade.  Let's start by talking about our exciting growth businesses and their achievements. Money Transfer’s fourth quarter revenue increased by $14.3 million year-over-year and $9.5 million dollars sequentially to $21.3 million. Full fiscal year 2020 Money Transfer revenue was $48 million, more than double the $23.1 million generated in fiscal 2019. Our Money Transfer business built upon its strong organic growth by leveraging certain favorable foreign exchange market conditions to deliver exceptional results this quarter. These ForEx conditions are transient, however, and they began to normalize following the quarter close. Although, our digital channels again were the main contributor to Money Transfer’s rapid growth, our complementary in store Money Transfer channel also has huge potential. Over the past several quarters, we have dramatically improved our platform and stabilized store transaction levels and margin contributions. We now believe we are in a position to grow our retail footprint. Before this calendar year is out, we expect to build on the success of our BR Money app by launching a synergistic neobank offering. Our BOSS Money Neobank also called Money will have numerous unique features. It will also be monthly fee free and virtually fee free in general and provide robust consumer rewards to drive rapid customer acquisition. As we extend the capabilities of the BR Money app, we are going to expand its reach beyond the USA and we are developing quite a few additional exciting fintech products and offerings that will appeal to consumers globally. Continuing with our growth businesses, net2phone’s product and development teams were very busy this quarter. We introduced our Microsoft Teams integration late in the third quarter and this quarter, we already added over 3,000 people to it. This quarter, we also released Huddle, our video conferencing solution worldwide. Huddle is also getting very good traction with our customers and I personally use it almost every day. In addition, net2phone’s rolled out new billing platforms in the U.S. and we'll deploy those billing platforms worldwide over the course of the next year. Earlier this week, we officially release net2phone Zoho Integration and we will soon announce a ton of other CRM integrations and some major feature enhancements. We also are getting good traction on our net2phone APIs, facilitating custom integration by developers with third party solutions. The increasing sophistication of our cloud communication offerings and strong demand helped to increase UCaaS subscription revenue here in the U.S. by 12% sequentially and 43% compared to the year ago quarter. In South America, the stronger dollar and COVID-19 impact had the opposite effect, lowering our dollar denominated revenues, elevating customer churn and slowing sales. However, we are seeing a big improvement in the current quarter and I'm personally optimistic that we will return to sustained growth in our international markets in fiscal 2021. At National Retail Solutions, revenue increased by $2.8 million year-over-year to $4.7 million. Full fiscal year revenue hit $12 million, nearly double the $6.2 million generated in fiscal 2019. We continue to add tons of new features to the POS and we continue to improve our NRS retailer app. And we massively improve the BR Club app during the quarter, helping us achieve record app usage and app purchases for our store owners. The app lets customers order and pay remotely, and we also launched our loyalty program inside the BR Club app. I am personally excited to start using the rewards at my local coffee shop; I love earning that free coffee. Merchant services, including credit card processing services for retailers and the sale of digital advertising through our POS terminal network, were the fastest growing revenue sources at NRS. Unlike most payment processing services, NRS Pay does not require a contract. We also provided our equipment without charge and there are no hidden fees. We charge only flat transparent rates. And as a result, we're enrolling new retailers faster than ever. For advertisers, our POS network offers an extremely cost effective way to reach the large and ethnically diverse urban population served by our retailers. Our customer facing digital screens handle both still and video ads that display while our retailers ring up the purchases. We already processed over 46 million transactions per month and that number is growing rapidly. Currently, we are selling only a small percentage of our POS network’s ad space capacity. But as programmatic buying becomes a bigger driver of digital out of home advertising, as we expect it will, that percentage will increase substantially. Because advertisers has seen that our displays result in high levels of customer engagement and because the high gross margins associated with advertising sales in general, we believe that the NRS ad network represents a very long-term growth opportunity. The expansion of our POS network has been exceptional. NRS added over 1,200 terminals during the quarter and by the quarter’s close we were billing for 11,500 units. And now with Yankee Hall of Famer, Mariana Vera, pitching for National Retail Solutions as NRS’s spokesperson, we are positioned to knock the ball out of the park in 2021. I've always wanted to say that. Now let's pivot and very briefly review results for IDT Telecom’s core offerings. BOSS Revolution Calling and Mobile Top-Up had strong performances in the fourth quarter as our customers kept in closer touch with and increased their support for friends and family during the pandemic. Our wholesale carrier division, which depends on international businesses communications, was again impacted by the closure or partial closure of many corporate offices due to the pandemic. From a balance sheet perspective, we continue to strengthen our position during the fourth quarter. We increased our holdings of cash, debt securities and equity investments by $38.7 million to $109.2 million, even as we returned $4 million to our stockholders through repurchases of our common stock. We accomplished this while remaining free of debt. Wrapping up, I again want to thank our amazing IDT, net2phone, NRS and BOSS teammates who continued their amazing product development, sales and service during really tough and obviously unprecedented times. Thank you very much. Now it’s onto fiscal 2021. The continued expansion of our higher margin growth businesses and the resilience of our consumer core offering position IDT to deliver improving results and to create significant long-term value. I'm very excited about the opportunities ahead and I look forward to reporting to you on our progress. Marcelo and I would be happy to take questions now, and I apologize for being choppy.